Operator: Good morning, ladies and gentlemen. Welcome to Hammond Power Solutions' First Quarter and 2025 Financial Results Conference Call. Certain statements that will be discussed in this conference call will constitute forward-looking statements. The Forward-looking information and statements included in this discussion are not guarantees of future performance and should not be unduly relied upon. Forward-looking statements will be based on current expectations, estimates, and projections that involve a number of risks and uncertainties, which could cause actual results to differ materially from those anticipated and described in the forward-looking statements. Such information and statements involve known and unknown risks, uncertainties, and other factors that may cause actual results or events to differ materially from those anticipated in such forward-looking information and statements. These factors include, but are not limited to, such things as the impact of general industry conditions, fluctuations of commodity prices, industry competition, availability of qualified personnel and management, stock market volatility, and timely and cost-effective access to sufficient capital from internal and external sources. The risks just outlined should not be construed as exhaustive. Although management of the company believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to have been correct. Accordingly, listeners should not place undue reliance upon any of the forward-looking information discussed in this call. I'd like to hand the call over to Mr. Adrian Thomas, Chief Executive Officer of Hammond Power Solutions. Mr. Thomas?
Adrian Thomas: Thank you operator, and good morning everyone. We were pleased with first quarter sales growth of 5.6% over same quarter last year. While slightly lower than Q4 2024, we saw strong growth and backlog of more than 17% confirming demand for our custom products. Standard product shipments exceeded expectations in a quarter that was clouded with trade uncertainty. With the shift in product mix in Q1 and with higher material and labor costs, our gross margins declined slightly to 31.5% in the quarter. We announced a price increase for our catalog products to offset these costs. Announced in February, the pricing increase went into effect in April with strong increase in backlog. We also anticipate that product mix will shift back towards custom products as we progress through the year, providing additional margin support. In Q1, we shipped more standard products than custom products. When we look back at our business in 2024, we saw a shift in mix towards custom products as many sectors grew. While the uncertainty of U.S. election cycle and slowing commercial construction impacted standard product shipments. January started this year off unusually low. Construction demand could have been impacted by regional cold weather events, the California wildfires and increased trade uncertainty. However, we saw a quick recovery in February and March. Custom product strength in the quarter came from strong data center shipments offset by weak sales in induction heating and markets related to electric vehicle production and infrastructure. With Micron now part of the HPS family, we have already seen contributions to our growth with a full quarter of results. The initial synergies appear promising and the combined expertise of our teams is a step forward in our growth strategy. Together, we offer a broader array of solutions to our customers and enhance our reputation for quality products and services, particularly within our OEM markets. Due to rising demand for U.S. made products Micron's U.S. based manufacturing location enhances our service to customers across the U.S. Another area we have been working to improve our customer service is in our ability to optimize our warehouse operations to ensure quick delivery across North America while optimizing the finished goods inventories as we grow. Last year we saw an increase in inventory due to the ramping up of our new warehouse in the Dallas Fort Worth area. We expect to see inventory reductions over the next few quarters as this program is implemented. In the first quarter of 2025 we had an increase in inventory that was attributable to the buildup of safety stock to ensure that we meet our delivery commitments for upcoming projects. We expect that this too will normalize as the year progresses. Our capacity additions are progressing well and our new factory in Monterrey, Mexico has reached a significant milestone of completion. We announced this investment less than one year ago as we continue to forecast demand for our larger custom products. We are now in the installation and setup phase. This timeline is ahead of schedule and we expect to start shipping products by the end of the year and then ramp up volumes over time. As I wrap up, I would like to share the continued improvements we are making towards our sustainability goals. Our teams continue to be dedicated to making a positive impact on the planet and our communities. In the last reporting cycle, we improved our energy efficiency by 3.2% and diverted over 70% of our waste from landfills through recycling, repurposing and reuse. Our upcoming 2025 ESG report will provide more details of the progress we have made. With that, I would like to hand the call over to our Chief Financial Officer Richard Vollering to provide some context to our financial results. Richard?
Richard Vollering: Thank you, Adrian. As Adrian mentioned, sales increased by 6% in the first quarter of 2025 versus the first quarter of 2024 to $201 million. Year-over-year sales in Canada showed strong growth at 7% while sales in the U.S. were down slightly in U.S. dollars. Micron contributed 3% to overall sales year-over-year. Standard product sales improved sequentially from Q4, which we view as a positive sign, while custom sales declined in absolute dollars and as a percentage of overall sales. We attributed this to timing of certain OEM project business, which we expect will now fall into the second quarter of 2025. Gross margins declined in the quarter to 31.5% from 31.7% in 2024, driven by higher input costs and product mix. However, we implemented a price increase at the beginning of April and all of things being equal, we expect to see an improvement in the second quarter because of this increase. SG&A costs excluding share-based compensation were in line with our expectations. The decline in the share price over the course of the first quarter resulted in a reversal of share based compensation of almost $11 million. Adjusted EBITDA was 30,916,000 [ph] in the first quarter or 15.4% of sales. This is a decline from both the first quarter of 2024, which was at 16.2%, and the fourth quarter of 2024, which was at 15.6%. The decrease is a result of a lower gross margin in the first quarter of 2025. We included a metric for adjusted EPS in this quarter and will continue to do so going forward. The adjusted EPS, which excludes share based compensation and foreign exchange gains and losses, was $1.60 per share as compared to $1.66 per share in the first quarter of 2024. Net cash decreased by $16 million in the first quarter of 2025. The first quarter is typically worse than other quarters with respect to cash flow due to annual incentive payments. However, in the first quarter of 2025, we also had a negative cash flow impact due to increasing working capital requirements, mainly driven by increased inventory. While finished goods have stabilized, we increased raw material inventory during the quarter mainly due to an increase of safety stock in anticipation of upcoming projects. Capital expenditures in the first quarter of 2025 were at $8 million, which is on target. As indicated on our last call, we expect that our capital expenditures for the year will be approximately $40 million. While sales volumes and margins were lower than our expectations in the first quarter of 2025, it was mainly due to a slower than expected January and certain project timing. We believe that the growing backlog indicates that certain sectors, mainly data centers, are still active and that this will continue to propel demand for custom power products. With the current market uncertainty, we continue to monitor quotation activity and stock product shipments to gauge business activity in the coming quarters. At this time, we are not changing our investment plans with respect to our more strategically focused projects, including our capital expansion projects, but we will be increasingly vigilant with respect to managing costs as we move forward through this uncertain business environment. Thank you. I will now turn it back to the operator to take questions.
Operator: [Operator Instructions] Our first question comes from Matthew Lee with Canaccord Genuity.
Matthew Lee: Hi guys, it's Matt Lee from Canaccord. Thanks for taking my question. I wanted to maybe start on the sales front. It does sound like a bit of a delivery delay there. Can you maybe give us some color as to how we should think about revenue in the context of Q2? Is it just sort of items ready to be shipped that didn't get out the door, or is there more to it than that?
Richard Vollering: Yes, I mean. Hey, Matt, it's Richard. Yes, I think that's, that's right. And there was, it was two, really two things. What you mentioned there was some product that didn't get out the door that will fall into Q2. There was also really just the timing of certain larger projects that just didn't happen to fall into the quarter. So what we would point to is the increase in the backlog, which to us indicates that there's still business activity out there, particularly with respect to data centers, and that'll be spread out over the remaining quarters for this year and some going into next year as well.
Matthew Lee: Okay, that's helpful. And then maybe in the context, can you contextualize backlog a bit there? I mean, 18%, quarter-over-quarter. I think our math on our end suggests that maybe a third of that is related to the shipment delays. Just maybe talk about what other factors are at play that have general backlog so much, given that, you know, it's so much stronger than previous quarters.
Richard Vollering: Well, I mean, it wouldn't be a third, that's -- it wouldn't be a third of it that's attributable to shipment delays. It'd be much smaller than that, so...but yes, I mean, as to the dynamics of that background, as you, as, we've spoken before, there's a certain element of it that's, day-to-day product that'll ship in the next, couple of months. And then there's an element of it that, that will ship, for the most part, the custom portion anyway, for the most part over the next couple of quarters. But as I said, there is some that will extend out into Q4 and into 2026 as well.
Matthew Lee: Okay, that's very helpful. And then, maybe one for Adrian here, in terms of the standard products, there's a lot of talk from distributors right now about stocking up before tariffs potentially kick in. And the conversation that you're having, are you hearing that trend come into play? Is there any way to quantify the impact and kind of how are you positioning yourself in case there's a big stock up in Q1 and then maybe lower demand in Q2 to Q4?
Adrian Thomas: Thanks, Matt. It’s Adrian. Yes, so I think distributors, I would say there was kind of mixed decisions by distributors in terms of how they managed and they have multiple product lines. So I think depending on the distributor, they may have looked at where the priority risks were. As we mentioned before, the Products we make in Canada, U.S. are USMCA compliant, and so at the moment the tariffs aren't impacting those products. We did announce a price increase in February and that went into effect into April. There is naturally a bit of a lift of some pre buying before price increase that happens this year to be kind of coincidental with when a lot of the tariff talk was happening. And so I think there could have been a bit of a lift from price increase and a bit of a lift from some distributors trying to balance or mitigate risk of a potential tariff. So I think those two things probably had some impact. It's hard to say which one was driving which. And I would say, I think some distributors were seeing a pickup in some day to day volumes as well. So there's probably a little bit of maybe catch up when December and January things were slowing, maybe some projects kind of also had to catch up. So I think there's multiple factors that probably all layer into that standard product pickup in Q1. Right.
Matthew Lee: That's good color. I mean last year you did a price increase too, so naturally you'd have seen a similar trend. Did you see more distributor activity this quarter than maybe last year relative to the quarters around it?
Adrian Thomas: Well, our sales are higher this quarter, so we have that as well. So I think it's. It's not easy to kind of discern precisely. We do believe it has an effect, but it's difficult to know how much.
Matthew Lee: Okay, thanks. I'll be there.
Operator: Our next question comes from Nicholas Boychuk with Cormark Securities.
Nicholas Boychuk: Hey, good morning guys. Coming back to the custom business, sounds like the data center segment is going well. I'm wondering if you can expand a little bit more on some of the other verticals within that, specifically OEM. Sounds like there was a little bit of weakness there. So any color on mining infrastructure, oil and gas, the other verticals you sell into would be appreciated.
Adrian Thomas: Yes. So when we look at OEM business, a lot of the OEM business goes into heavy industries so oil and gas and mining. There is some timing with some of those projects. So I think that does play. Timing does play. In terms of the flow from the project down to the OEM to us, I would say in Canada was a diverse set of different industries and different projects. And so data center certainly was a big piece of the backlog, but we still saw it in a variety of industries. Hospital jobs, water treatment plants, regular industrial facilities. So it was pretty diverse set of segments, but data centers was the fastest and the largest piece of that uptick.
Nicholas Boychuk: Okay, got it. And then on standard, I know you mentioned that obviously some distributors handled things a little bit differently. What's the response been from competitors in terms of price increases? I'm curious. Through some other coverage we have in the electrical distribution space, it seems as if some are being opportunistic and passing on price increases more than inflation. Are you guys seeing any of your competitors do things completely different from you, such that you might have an opportunity now to either entrench more with a distributor or take share?
Adrian Thomas: I can't speak for our competitors, but the feedback from our distributors were that, the one day when we, when we did adjust prices for the day that the tariffs were on, they felt that we did it in a transparent and reasonable way and they appreciated our approach.
Nicholas Boychuk: Okay, understood. And then last, on gross margins, I just want to make sure I understand correctly that the price increased even after effective April. That will cover all the inflation that we've had up until that point. Has any additional come in? And then two, the new facility that you have coming online in Mexico, the custom facility, is that going to come in at a lower gross margin profile initially? Is there a ramp period, or can we think of that as having a consolidated gross margin profile similar to your other existing custom facilities?
Adrian Thomas: So I'll take the first one. I'll ask Richard to talk to how the factory costs play into our P&L. But on the price increase, I think what we've seen in terms of material and labor inflation are consistent with what we modeled. So we believe the current price increase addresses that we'll continue to watch, and particularly as we watch some of the trade negotiations, if we start to anticipate that there will be further inflation. We'll look to do additional price increases. But as it stands right now, it's relatively in line with what our cost forecasting was, and so it should cover it for all things being equal.
Richard Vollering: I think it's. Richard, in response to your second question. Yes, there's going to be an overhang for the two New Mexico plants, less so for the small province plant as we continue to ramp up production. But then as we get closer to standing up the new custom power plant which we hope to start shipping from in the fourth quarter of this year, we will see a little bit of an overhang there. And that'll, that'll last until that plant gets loaded up, you know, into 2026. And the other part of your question is the margin profile. It'll be, it'll be similar to the, the margin profile of other custom products.
Nicholas Boychuk: Okay, that's great, guys. I appreciate the color.
Operator: Our next question comes from Rupert Merer with National Bank.
Rupert Merer: Hi, good morning everyone. Wondering if you can talk to us a little about the relationship between the backlog growth and your planned capacity increases. Is the backlog growth in part related to the plant expansion in Mexico? Meaning are you selling out capacity there today?
Adrian Thomas: So, Rupert, no, we're not selling out capacity today, although we are looking forward at projects and what our capacity is to take on additional projects. So with the new factory coming online faster, we have the ability to chase more projects, but I would not say that that facility is sold out.
Rupert Merer: Well, I mean, are you selling projects or are there projects in the backlog that will be delivered out of Mexico? Maybe that's a better way to put it.
Adrian Thomas: It's likely some of the longer cycle projects that we received in Q1 could be shipped out of that factory.
Rupert Merer: And on the production capacity. So with your custom products, where would you say you were on capacity utilization in Q1 and how does that capacity increase through the year as you add Mexico?
Adrian Thomas: So we were at the high end of our capacity limits, Rupert. We weren't at 100%, but we were, we were up there for the ramp up. There are some certifications and things that we need to do as we ramp up the factory. So there is, it's not without any time risk, but the fact that we have the building built and we're installing equipment as we speak, it's positive that we can start producing product in the, in the fourth quarter as we did see backlog increase if the orders rate continues further in the year. And this is dependent on sort of project business continuing, that would allow us to start shipping more out of that factory. I think when we originally announced this, we were sort of talking about starting shipments in 2026. So this will allow us to pull forward some of those sales, which is a positive.
Rupert Merer: All right, great. And on Micron, you talked about increasing synergy there. Can you walk us through some of the considerations for that business? And where do you see the synergy? And is there much to do on product standardization? Do you sort of converge on one product solution, maybe switch them over to some of your methods, or how do you see that evolving over time?
Adrian Thomas: So there's synergies on both ways, Rupert. So there were some things in terms of their production process which we think is beneficial that we can apply. I believe we can bring synergies in terms of the scale, in terms of sourcing, so that'll bring some synergies on that aspect. On the customer side, they had access and serve a number of customers that we were not servicing on the Hammond side, with similar products that access to those customers. We're trying to work with them to expand the number of products that we can sell, because the Hammond portfolio was much larger than the Micron portfolio. So it's allowing some of that pull through. And one of the areas that focused on getting some pull through is also in the power quality components. And we have quite a broad reach, so we have coverage all across North America, whereas some of the coverage at the time of acquisition with Micron was limited to certain areas. So we've increased coverage there in terms of product consolidation these products, while similar, go into pieces of equipment and get mounted in certain ways and so there can be some cost to a customer to change products because different mounting or different parameters. So at the moment we plan to maintain both product lines so that the customers that have standardized on our products can continue to use them.
Rupert Merer: All right, great. I'll leave there and get back in the queue. Thank you.
Operator: [Operator Instructions] We have another question from Rupert Merer with National Bank. Your line is now open.
Rupert Merer: Hi, gentlemen. Can you talk to us about M&A plans? Do you have any sort of updates on your M&A pipeline, how that's shaping up, Any potential deals you could see this year? I know you're focused more on power quality, but any thoughts on other verticals that you might look to invest in?
Adrian Thomas: Yes. Hey, Rupert. Adrian again. So we did. I'm not sure if we've shared broadly, but part of the acquisition of Micron, we brought over someone that joined our team. So Norm Bates, who is the President of Micron, is now our EVP for Corporate Business Development. So he's an additional resource that we're leveraging for us to do business development and M&A, we have an active portfolio, so we're speaking with a number of potential, both acquisition targets and also partnerships. But beyond that, I can't share any details.
Rupert Merer: Okay, I'll leave it there. Thank you.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to Adrian Thomas for closing remarks.
Adrian Thomas: Thank you, operator. I would just like to thank everyone for joining the call today and just remind everyone that our business continues to have a robust business model, diverse market exposure, and we have an ongoing commitment to innovation with our customers. While there's economic uncertainty, we believe that the mega trends on electrification will continue over time and that we're well suited to benefit from this transition. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.